Operator: Hello, and welcome to Ferguson's Fourth Quarter and Year-End Results Conference Call. My name is Adam, and I will be coordinating your call today. [Operator Instructions] I'd now like to turn the call over to Brian Lantz, Vice President of Investor Relations and Communications. The floor is yours. Please go ahead when you are ready.
Brian Lantz: Good morning, everyone, and welcome to Ferguson's fourth quarter and year-end earnings conference call and webcast. Hopefully, you've had a chance to review the earnings announcement we issued this morning. The announcement is available in the Investors section of our corporate website and on our SEC filings web page. A recording of this call will be made available later today. I want to remind everyone that some of our statements on today's call may be forward-looking and are subject to certain risks and uncertainties that could cause actual results to differ materially from those projected. Additional information on these matters is also included in our earnings announcement. In addition, on today's call, we will also discuss certain non-GAAP financial measures. Please refer to the appendix of our earnings presentation and announcement on our website for additional information regarding those non-GAAP measures, including a reconciliation to the most directly comparable GAAP financial measures. With me on the call today are Kevin Murphy, our CEO; and Bill Brundage, our CFO. I will now turn the call over to Kevin.
Kevin Murphy: Thank you, Brian, and welcome, everyone to Ferguson's fourth quarter and year-end results conference call. On today's call, I'll cover highlights of both our full-year and our Q4 performance. I'll also provide a view of our end markets before turning the call over to Bill for the financials and our outlook for fiscal year 2023. I'll then come back again to share some thoughts on how we are executing our strategy and conclude with some closing remarks before Bill and I take your questions. Starting with our full-year performance. Our teams delivered outstanding sales and profit growth in fiscal 2022. We would like to express sincere thanks to our associates for their remarkable efforts to serve our customers, helping to make their project simple, successful and sustainable. Revenue of $28.6 billion was 25% above last year and more than 23% above on an organic basis. This performance was driven largely by our ability to deliver on our customer's projects amid unprecedented industry supply chain pressures. We controlled our operating expenses and increased productivity to ensure that the profit growth we achieved outpaced our revenue growth. As a result, we delivered adjusted operating profit growth of 41% for the full-year and adjusted diluted earnings per share growth of 45%. We made appropriate investments in working capital during the year, which supported our above market revenue and profit growth, resulting in a record 40% return on capital employed. Our business continues to drive solid cash flow, which enables us to continue to invest for growth. We are pleased to welcome associates from 17 acquisitions during the year. We also returned over $2 billion to shareholders through ordinary dividend and share buybacks. Growing the ordinary dividend sustainably through the cycle is an important part of our capital priorities, and the Board has recommended to increase the total final ordinary dividend by 15%. Our balance sheet remains strong and at the bottom end of our leverage range with 1x net debt to adjusted EBITDA, putting us in great position commencing the year ahead. Our over-market organic growth is complimented by a two-pronged acquisition strategy focused on geographic expansion and new capabilities to further drive over-market organic growth. We spend a great deal of time ensuring we have a good cultural fit and aligned values to make sure we have a successful acquisition. When we acquire a company, we are investing in local talent and in local relationships. We retain and engage associates in our career-oriented culture, which offers a foundation for future growth. This approach creates diversity of thought and experience inside the organization, helping to improve the overall company. Over the past year, we made 17 acquisitions that were broadly split between geographic expansion and new capabilities. Our investment of $650 million in fiscal year 2022 reflected the addition of approximately $750 million of incremental annualized revenue. Businesses like plumber supply broadened the reach of our existing footprint in St. Louis, expanding our relationships to new customers. While Aaron & Company, a leading distributor of plumbing and HVAC across New Jersey, helps cement our relevance to the dual trade contractor. Acquisitions like D2, Triton and STE bolster our geosynthetic and erosion control capabilities within our market leading Waterworks customer group. We also acquired Minka Lighting and Fans during the year, a highly respected own brand lighting and ceiling fan company. Leveraging our existing showroom footprint and our online channels, we are able to capture revenue synergies to drive growth. Given the highly fragmented nature of our markets, we have significant opportunities to continue to execute our strategy of consolidation. Turning to the fourth quarter. Our teams continued to execute our strategy and delivered another exceptional performance. We leveraged our consultative approach, our scale, global supply chain, and strong balance sheet to support our customer's projects. This drove 21% revenue growth on top of strong prior year comparables. Our pricing discipline and productivity gains enabled us to maintain an adjusted operating margin in excess of 10%. This operating profit performance, coupled with the execution of our share buyback program drove adjusted diluted earnings per share growth of over 20%. We are proud of these results and are confident in the strength of our business model as we go forward.  Turning to our end-market. Demand remains strong across our markets through the year, and we continue to take share across both residential and non-residential end-markets. Residential, which comprises just over half of our U.S. revenue, saw good growth in both new construction and RMI. Our residential revenue grew organically by approximately 20%. Non-residential end-markets grew faster than our residential markets as we lapped weaker comps in the prior year. Our non-residential revenue grew organically by approximately 30% with a significant contribution from our Waterworks Group. As we've discussed previously, we focus on maintaining our balanced end-market mix, and while growth rates will fluctuate through time, we seek to maintain this healthy balance. Let me now hand over to Bill, who will take you through the financials in a little more detail.
Bill Brundage: Thank you, Kevin, and good morning or afternoon, everyone. We've seen similar trends continue from Q3 to Q4 with market share gains contributing to total revenue growth of 21.4% and organic growth of 19.5% despite tough comparables. Price inflation was broadly stable from Q3 to Q4 at approximately 20%. We were pleased to deliver gross margins of 30.5%, which were down 90 basis points year-over-year as expected, driven primarily by strong prior year comparables during a period of rapid commodity price inflation. We tightly controlled costs, generating strong operating cost leverage and delivered adjusted operating margins of 10.7%, while continuing to invest in our talented associates, supply chain capabilities and technology program. Adjusted operating profit of $849 million was up $150 million or 21.5% over the prior year. Adjusted diluted earnings per share grew by 20.3%, driven principally by the growth and adjusted operating profit, and the impact of our share buyback programs partially offset by higher interest in tax in the quarter. Moving to our segment results. The U.S. business delivered another strong performance. We continued to take share in supportive markets with net sales growth of 22.1%. Organic revenue growth of 19.8% was bolstered by a further 2.3% growth from acquisitions. We delivered adjusted operating profit of $829 million, an increase of $141 million or 20.5% over the prior year with operating cost leverage driving an 11% adjusted operating margin. We have provided a breakout of revenue growth across our largest customer groups in the U.S. As Kevin outlined, we saw strength across both the residential and non-residential end-markets with all customer groups performing well in the quarter. Residential trade and building and remodel grew over 20% with robust demand in both new construction and RMI. HVAC where the majority of our business serves the residential end-market grew by 18% with a two-year stack of 43%, while residential digital commerce grew modestly against a strong comparable. Waterworks continued to deliver very strong revenue growth of 36% on top of a prior year comparable of 37%. This quarter's growth was predominantly driven by inflation, supported by strong public works demand, continued residential growth and growth in non-residential end markets. Commercial, mechanical and other non-residential customer groups saw good growth in the quarter with supportive markets. Turning to our Canadian segment. The business performed well with organic revenue growth of 14.2% in Q4 as we lapped a 20% prior year comparable. This was partly offset by the adverse impact of foreign exchange rates, resulting in total revenue growth of 10.5%. Residential end markets performed well with good growth across our customer groups. Non-residential also grew well with particularly strong growth in our Waterworks customer group. Adjusted operating profit growth of 25% significantly outpaced revenue growth as we tightly controlled operating costs, generated strong operating leverage and achieved an adjusted operating margin of over 8%. As we look at the full-year performance, revenues are up 25.3%, 23.5% on an organic basis with gross margins broadly in line with last year. Inflation for the year was in the high teens. Adjusted operating profit growth significantly outpaced sales, up 41.1% with operating margins expanding 110 basis points to a record performance of 10.3%. Adjusted diluted earnings per share grew by 44.6%, supported by strong profit growth and share repurchases, and our balance sheet remains strong as we moved into the bottom end of our target leverage range. Turning to cash flow. We take a disciplined approach to cash generation. It continues to be an important priority and quality of our business model. Adjusted EBITDA for the year was $3.2 billion. As we've discussed over the last several quarters, we continued to invest in working capital in both inventory to ensure we have the best levels of availability for our customers during this time of supply chain challenges as well as receivables driven by sales growth. This investment has supported our exceptional growth and generated record overall returns on capital. Tax increased over the prior year due to higher profit and timing of payments and we continue to invest in organic growth through CapEx, principally invested in our supply chain and technology programs. As a result, we generated over $1.1 billion in operating cash flow and $863 million of free cash flow. Our balance sheet position is strong, with net debt-to-adjusted EBITDA of 1x. We continue to target a net leverage range of 1x to 2x and we intend to operate towards the low-end of that range through cycle to ensure we have the capacity to take advantage of growth opportunities as well as to maintain a resilient balance sheet. We allocate capital across four clear priorities. First, we are investing in the business to drive above-market organic growth principally through working capital and CapEx. Second, we are sustainably growing our ordinary dividend. Third, we are consolidating our fragmented markets through bolt-on geographic and capability acquisitions. Finally, we remain committed to returning surplus capital to shareholders, principally through share buybacks, and we intend to operate towards the low-end of our target leverage range. I have set out how we've executed against these capital priorities over the past year. Our organic investments, as I previously mentioned on the cash flow side, were principally driven through working capital to support our customers and growth during times of supply chain disruption. Our inventory investment has been supported by customer order growth with inventory expansion focused in core categories that are not typically subject to consumer or retail trends. We anticipate inventory levels will remain elevated in fiscal 2023, but will normalize as supply chain constraints ease. Receivables have supported customer growth, increasing slightly faster than overall sales, principally due to changes in business mix, and we continue to see low collectability risk. Additionally, we continue to invest in CapEx, which supports our ability to outperform the broader market. CapEx investments are broadly split between our market distribution center rollout, technology investments in both front-end customer facing capabilities, as well as the modernization of our backend systems and investments in our branch network. During the year, we distributed over $500 million of dividends and have proposed a 15% increase to the final dividend. Moving forward, we will transition to quarterly interim dividend payments with the first quarterly interim dividend expected to be declared in December alongside our Q1 results. From an acquisition standpoint, we invested $650 million during the year, bringing in approximately $750 million of incremental annualized revenues. While the pace of deal activity in the market has started to slow, we maintain a good pipeline of potential deals and we remain focused on executing our consolidation strategy. Finally, during the year, we returned $1.5 billion to shareholders through share repurchases, reducing our share count by over 11 million or about 5%. This left approximately $500 million outstanding at the end of the year, which we have topped up by an additional $500 million today, leaving us approximately $1 billion remaining on the share repurchase program as we begin fiscal 2023. Turning last to our initial view of fiscal year 2023 guidance. We expect to deliver low single-digit revenue growth for the year, driven by continued organic market share gains and the benefit of fiscal year 2022 completed acquisitions. We expect growth rates to continue to be strong at the start of the year and compress as we move through the year, driven by increasingly difficult comparables, a reduction in inflation and a deterioration in market volumes. After stepping up adjusted operating margins by 230 basis points over the last two years, we would envision some normalization and provided a range of between 9.3% to 9.9%. We expect interest expense to rise to between $170 million to $190 million driven by the increase in net debt as we've moved into the bottom end of our target leverage range. Our adjusted effective tax rate should stay broadly consistent at approximately 25%, and CapEx is expected to come in between $350 million to $400 million. To summarize, the business is performing well and we remain focused on executing our strategy. We believe the combination of our strong balance sheet and flexible business positions us well as we head into fiscal year 2023. Thank you. And I'll now pass you back to Kevin.
Kevin Murphy: Thank you, Bill. During the past year, we continue to execute our strategy. We are driving ongoing end-market outperformance while investing to build on our competitive advantages for the long-term. Let's take just a few minutes to reflect on how our strengths and strategy translate into longer term value. First, we hold leading positions in large, growing and fragmented markets. Roughly 75% of our revenue is generated from our number one or number two market positions. Our supplier base is fragmented, our customer base is quite fragmented, and our competitor base is also highly fragmented with more than 10,000 small and medium sized, mostly privately held competitors. While there are macroeconomic headwinds on the horizon, markets we compete in have historically grown above GDP and there are structural characteristics that give us confidence that the markets will continue to be supportive over the long-term. Secondly, our scale delivers sustainable market outperformance. On average, we delivered 370 basis points of U.S. organic market outperformance over the past five years, this year being no exception. We are confident in our ability to continue to outperform by leveraging a base of four key strengths. Value added solutions that help make our customers complex projects simple, successful and sustainable, again not just moving boxes, but enabling greater construction productivity. A supply chain that delivers breadth and depth to our customers where and when they need it, a suite of digital tools that offer our customers a true omnichannel experience and our people, a true sales culture leveraging longstanding relationships within the supplier and customer communities. As I talked about earlier, we compliment this organic growth model by consolidating our fragmented markets with consistent bolt-on acquisitions. In the past five years, we've completed over 50 acquisitions, driving 2.2% incremental annual revenue growth from those acquisitions. All of this has produced a long-term track record of outperformance and cash generation by a dedicated team with long-term experience in the business. We continue to grow our $29 billion leading position in an expanding North American market opportunity of approximately $340 billion. We operate with a focused growth strategy and an intentional balance with 54% residential and 46% non-residential with 60% RMI and 40% new construction. This allows us to leverage scale and attractive profit pools with a less cyclical, more durable and resilient business mix. We stayed focused on the unique needs of our nine customer groups that work together to help make our customers complex projects simple, successful and sustainable. We've recently expanded this chart to include our Canadian business, now reflecting our entire North American operations and market opportunity. Together, our platform serves these customer groups with the advantage of scale, leveraging associate recruitment, supply chain, technology, product sourcing and acquisition infrastructure. Most importantly, they work together with Ferguson being the first on the job site and the last off. Our customers and our customers’ customer benefit from Ferguson being on the project. Let me again thank our associates for their remarkable efforts to serve our customers. They, again, outperformed our end markets by helping to make customers projects more simple, successful and sustainable during a period of supply chain disruption and cost inflation. The result was an outstanding fourth quarter performance that capped a year of solid progress, building on our market leading positions and our key strengths while investing in the future of the business. We are well positioned heading into the new fiscal year with a balanced business mix between residential and non-residential, new construction and RMI. We have a flexible business model and cost base that allows us to adapt to changing market conditions, and we are maintaining a strong balance sheet operating at the low-end of our leverage range. By slowing end markets, we continue to position ourselves to outperform fundamentally solid longer term end-market demand. Thank you for your time today. Bill and I are now happy to take your questions. Operator, I'll hand the call back over to you.
Operator: Thank you. [Operator Instructions] And our first question today comes from Matthew Bouley from Barclays. Matthew, please go ahead.
Matthew Bouley: Good morning, everyone. Thank you for taking the questions. Two questions for me this morning. So first, just on the growth guidance, I'm curious if you could give a little more color around sort of your framework, kind of the build up there between market outperformance and in particular, what you're assuming around the end markets and residential sort of how that flows to you guys? So that's part one. And then second question around the inflation assumptions assumed. I believe, I think, Bill, you said that you're assuming a reduction in inflation, just curious as you're seeing with certain commodities, perhaps some rolling over just how you guys are thinking about the cadence of inflation and perhaps if we should think that any deflation maybe assumed in the guide as well? Thanks, everyone. Good luck.
Kevin Murphy: Thanks, Matt. This is Kevin. I'll start us off and then hand it over to Bill to maybe build this out a little bit more detail into your question. As we're sitting here today, we still have some pretty good and supportive market growth and revenue growth embedded in what we're doing as well as with some of our Waterworks bidding activity that we're seeing. So we exited the fourth quarter, I call it roughly 20% growth and then moved into the first quarter and through first quarter trading sitting somewhere around mid-teens. So clearly off from that 20% growth rate, but still relatively supportive. As we go through this fiscal year into Q2 and then particularly as we clip into calendar year 2023, we run into both tougher comps as well as inflation moderating just based on those comps, and then as we think about residential markets in particular, expecting a degree of market deterioration. Now if we look at residential, we've still got decent start activity even though permit activity is down 14%. And from an RMI perspective, we expect to see some degree of degradation even though our showroom activity, for example, skews towards that higher end consumer. And when you look at the more custom builder and remodeler, their activity and the way that they're booked out would suggest decent demand through, call it, 12 to 18 months. And then perhaps more importantly, as we start to drift towards that non-residential side of the business, we've historically talked about things like data centers and big box warehouse build out. And even as big box warehouse and distribution center build out starts to wane, we've seen good activity around mega projects like onsourcing, electric vehicle, battery and storage, pharma and semiconductors. So that balance still provides some green shoots on the non-residential side. But as we said, as we go through the fiscal year, comps, inflation moderation, and as we think about what that looks like with residential market pressure, we think that deteriorates through the rest of the fiscal year. Bill?
Bill Brundage: Yes. Matt, maybe just to build that out, a touch more to your question on the framework. First off to hit Kevin's point from a comp perspective. If you look at the growth comparables, they do step up throughout the year both on a individual quarter, but also more importantly maybe a two-year stack basis. So our Q1 organic growth comparable is 24.5, that steps up to 28.5 in Q2, but if you look at growth on a two-year stack, organic growth comparables are in the high-20s in Q1, they step into the low-30s in Q2 and then Q3, Q4, we step into the low-40s. So those comparables do get tougher throughout the year. A good portion of that are the inflation comparables. So while we expect inflation to reduce, we're not expecting deflation, we are expecting the inflation comparables to rollover as we move throughout the year and that to compress those growth rates. In addition, from a volume perspective as Kevin outlined on residential, we do expect there to be pressure there. We exited Q4 with about flat volume, so we would anticipate volumes will turn negative as we move throughout the year, resulting in that overall estimate or assumption at this point, recognizing it's early in the year of a market decline in the likely in the low-single digits for the full-year. In terms of our framework, we're still very much committed to over-market performance in that 3% to 4% range. We've clearly been able to deliver that over the last five to 10 years and we see no change in that moving forward. And then the tail of completed acquisitions from FY2022 should add about 2% to our growth rate for the year.
Matthew Bouley: Thanks Bill, thanks Kevin for all the detail.
Kevin Murphy: Thanks, Matt.
Operator: The next question comes from Mike Dahl of RBC Capital Markets. Mike your line is open. Please go ahead.
Mike Dahl: Good morning. Thanks for taking my questions [indiscernible]. My first question is around inventory and working cap. There's been a lot of chat around certain product categories that we're seeing kind of destock in both retail and distribution. In your opening comments, I think you suggested that you're planning to keep elevated inventory levels. Can you just give us a sense of how you're managing inventory levels and maybe on a kind of vertical or product category basis, how you're thinking about the different areas and where you might be more inclined to keep higher inventory versus [indiscernible] or normalized?
Kevin Murphy: Yes. Mike, thank you for the question. Maybe I'll start and then Bill further in. When we think about inventory, we did step up that inventory obviously to take care of great customer fill rate and it served us well with returns on capital at over 40%. As we think about where supply chains are today, there has been some normalization of supply chains with a few key exceptions. And so we'll have inventory likely at elevated levels that start to drop down as we go through our fiscal 2023. Again, normalizations happened across many of our customer groups, but we still see elevated inventory levels in areas like appliances, particularly in the luxury appliance portion; in our Waterworks business group, particularly in areas like ductile iron pipe, PVC pipe, valve and hydrant, and even brass goods as supply chains continue to be pressured on that side of the business. And then in the HVAC customer group, as we think about particularly the Department of Energy Transitions that we're going to be going through over the winter and the need to make sure that we have product available for what is one of our fastest growing customer groups. So there'll be some areas that we continue to stay elevated, but generally speaking, you'll see a reduction in those inventory levels.
Bill Brundage: Yes. And just to quantify it a bit, Mike, if you look at just days and inventory as we exited the year, roughly five days more than we had at the end of fiscal 2021. To Kevin's point, particularly in those product categories where we're seeing still supply chain disruption that's driving the majority of that increase. But we also have a fair amount of inflation year-over-year just in the product categories. Again, these are not product categories that are really subject to consumer trends or retail trends. We do have good customer order growth supporting that inventory and we're appropriately utilizing that balance sheet while we're in this unique time period. So we'll run into fiscal 2023. I can't tell you exactly how long we'll run with slightly elevated inventory levels, but we'll appropriately manage it according to what we're seeing in the marketplace from a supply chain disruption perspective.
Mike Dahl: Great. Thanks for that. My second question, if I could. Within the operating margin guidance, could you give us a sense; I think you've called out in the past that you do expect a little normalization that you hope to hold gross margin levels at a relatively high level above 30%. So within your guide, how are you thinking about split between gross margin and as you may?
Bill Brundage: Yes, sure. So if you look at the 10.3% that we delivered this year, that at a 30.7% gross margin, and if you recall and we talked about this a lot over the last couple of years, that first half gross margin was extremely strong, driven by rapid commodity price inflation. So that first half gross margin of 30.9%, clearly above the full-year gross margin, clearly above where we're running in the second half at about 30.4%. So the top end of our guidance range is really framed by that moderation in the gross margin back to the levels that we're running at in the second half this year. From a bottom end of the operating margin range, we've talked a lot about the view that we have unlocked a new level of operating margin productivity coming out of our fiscal 2021 results where we produced a 9.2% operating margin, and that continues to frame the bottom end of our operating margin range. That allows for a bit more gross margin pressure or more cost inflation pressure. Very difficult to predict that at the outset of the year, but that would be the reason for that range between a [9.3 and 9.9] as we step into the year.
Mike Dahl: That's great. Thanks so much.
Kevin Murphy: Thank you, Mike.
Operator: The next question comes from Kathryn Thompson of Thompson Research Group. Kathryn, please go ahead. Your line is open.
Kathryn Thompson: Hi. Thank you for taking my questions today. Obviously a lot of focus on inflation and we've seen more commodity type products having some ease in overall cost, but still against that backdrop from our perspective, we just see structurally higher inflation on a go forward basis over the next several years with other components that we don't necessarily see coming down. Based on your prior long experience running this business, how do you manage around structurally higher inflation especially around certain components that we don't necessarily see changing such as labor? Thank you.
Kevin Murphy: Thank you, Kathryn. Yes, as you think about how we view the inflationary environment, as Bill indicated, and as we've talked about on this call, we see the inflation comp starting to moderate as we go through the fiscal year. We started to see commodity inflation, which historically has been about 10% of our business back in the fall of 2020, and that flow into finished goods and continues on as we go through the first quarter of this year. We think that there are some structural characteristics that will support that price inflation, particularly on the finished goods side as you think about the labor component inside of that as well as the overall components for our finished goods inventory. So we feel fairly confident in the durability of that inflation. As we think about our commodities, we haven't seen any marked movement in a downward direction on the commodity side, particularly in the areas of PVC pipe, cast iron, ductile iron, which are large components of our overall product categories. We have seen some movement in steel and copper, which Bill reflected as we talk about what that gross margin range looks like as we come through fiscal 2023. The way we manage it is simply put working with our customers and our customers customer to make sure that we pass on appropriate price inflation into the projects that we're working with great communication, and then also making sure that we're value engineering projects and we've been fortunate to be able to pass through that price inflation and offset our cost inflation to expand operating margins to a new level.
Kathryn Thompson: And do you feel that that trend is sustainable given that backdrop?
Kevin Murphy: Yes. I can't comment on what we think inflation is going to be on the cost of goods sold side as we go forward, but we do believe that there is some structural support underneath the current pricing levels.
Kathryn Thompson: Okay. Great. A lot of focus on resi and softening demand, but peeling the onion back just a little bit more, obviously a lot has changed since July. We are getting feedback from some of our companies in the – broadly in the construction value chain that touch residential and non-res, that any weakness in residential is being offset by commercial demand. How does – against that backdrop, what would – what’s your commentary be on that? And also, just to clarify, really how do you go about setting your forecast for residential other than speak the usual metrics and just really it helps us frame how you think about managing that resi and non-resi balance, and are you seeing strength in non-resi to offset resi weakness?
Kevin Murphy: Yes. So it's early as we think about going into calendar year 2023 and what that might bring from a residential perspective. Just like you, we see permit activity declining; just like you, we see what rate increases in overall pricing levels can do to demand. Generally speaking though, if you look in the more longer term or mid-term, we still see support in that residential market, particularly as you look at maybe even the build to rent or the multi-family portion of that residential business. So the good part about our business is that balanced business mix and the ability for our customers to shift what their focus is potentially from a res to a non-res side, particularly say in that Waterworks business. We do see green shoots in the non-residential side, and again, historically over the last several quarters, we've talked about the build out of distribution centers to support e-commerce. And even if that wanes, these mega projects that I referred to earlier do offer good support. And that balance of our business mix is very helpful, whether that's healthcare and education, whether it's onshoring a manufacturing activity, large projects in the chip arena, downstream chemical, pharma. And candidly, we're seeing great work for our industrial business on refinery turnarounds, roughly 88 refineries that are going to be doing turnarounds that have been largely offset during the pandemic. And so there's good work that's established on the non-res side to provide that balance. Again, no crystal ball in terms of what that's going to bring in calendar year 2023, but good support mechanisms.
Kathryn Thompson: Thank you. Best of luck.
Kevin Murphy: Thank you, Kathryn. Thanks.
Operator: The next question comes from David Manthey from Baird. David, please go ahead. Your line is open.
David Manthey: Yes. Thanks very much. Hi, guys. Good morning. My first question is a clarifying question. Bill, when you’re discussing the year overall, I think you mentioned that volumes were expected to be down, you said about 2% from known acquisitions today. But to get to that low single-digit growth overall for the year, that would imply that price is up. Am I reading that right or is there something else going down there?
Kevin Murphy: No. Dave, let me clarify, but thanks for the question first off. I was talking about the 2% is the benefit of fiscal 2022 acquisitions, so that's the tail of acquisitions from 2022, the benefit on growth heading into 2023. In terms of the overall low single-digit guidance that we've put out that is based on an expectation that overall markets price plus inflation will be slightly negative throughout the year will outperform that from an organic perspective and then layer on the 2% from completed acquisitions.
David Manthey: Okay. Got it. That makes sense. And then second, as you think about the complexion of the fiscal year playing out, it sounds like you expect some deterioration against difficult comps as you noted. Are you anticipating that we reach a level of stability at some point as we get closer to the end of the fiscal year? Are you expecting sort of straight line down, expecting – how are you thinking about the track here as we move through the fiscal year?
Bill Brundage: Yes. I mean, it's a great question, Dave. And as you can think about the complexity or the complexion of the year, rather, again, with those growth rates stepping up, we would assume that our growth rates will continue to move down as we move throughout the year. In terms of the second half of the year, will it be a – will it be more of a muted down, very difficult for us to call. We're not expecting a significant recessionary environment in the second half of the year. But most importantly, as you think about how we're going to manage the business for whatever environment we find ourselves in, we've got a flexible cost base. We can manage that cost base up or down depending on the environment that we find ourselves in. About 60% of that cost base is labor. The majority of that is variable. And then we have other variable costs on top of that, so we'll be able to react accordingly and manage within that operating margin range that we've guided to.
Kevin Murphy: Yes. Dave, it's a difficult call as you look into 2023, and we have limited visibility in terms of the time horizon of our open order book. Bidding activity today remains fairly solid in our Water business, both private and public, candidly both residential and non-residential. As we look out towards that calendar year 2023 and as we get into our Q3 and Q4. To Bill's point, the balanced business mix that we have res, non-res, new construction, RMI and a flexible business model underpinned by a strong balance sheet, we feel like we're in pretty good shape to take care of whatever comes at us.
David Manthey: Sounds good. Thanks very much guys.
Kevin Murphy: Thanks, Dave.
Operator: The next question is from Keith Hughes from Truist. Keith, please go ahead. Your line is open.
Keith Hughes: Thank you. In the press release, you talked about your non-residential business growing faster than the residential. We've had [indiscernible] about that. Is the inflation faster on non-residential particularly given the influence of Waterworks, if you could give us any detail on how that breaks, that would be great.
Kevin Murphy: Yes. Keith, thanks for the question. If you look at the growth for fiscal 2022, to your point, our residential business grew about 20%, while our non-res grew about 30%, there is slightly higher inflation in that non-res business, particularly in the Waterworks and commercial plumbing business where there tends to be a bit more commodity product, but still good volume growth in both resi and non-resi throughout the year.
Keith Hughes: Okay. And now that would be in the fourth quarter as well, you saw similar volume growth on both, correct?
Kevin Murphy: That's correct.
Keith Hughes: That's correct. Okay. And I guess, you talked about inflation playing a diminishing role in your FY2023 guidance. Are you anticipating just the roll over of the price increases that been in place to date or do you anticipate any more price increases you're going to have to implement to your customers?
Kevin Murphy: Yes. We'll handle price increases on the finished goods side as we always do, which is passing that along any price increase from the vendor community, passing that along to our customers. But in terms of our expectations in that guidance, we're expecting relatively stable pricing as we move throughout the fiscal year. It's awfully difficult to call sitting here seven, eight weeks into the fiscal year, but that assumption is that pricing is relatively stable throughout the year. We rollover those tougher comps, which compresses the gross rate on inflation as we move through the year.
Keith Hughes: Okay. Thank you.
Kevin Murphy: Thanks, Keith.
Operator: The next question comes from Elodie Rall from JPMorgan. Elodie, please go ahead.
Elodie Rall: Hello, good morning. Thanks for taking my questions. So I have two please. The first one is on bolt-on acquisitions. So I was wondering, if you could talk a bit about the pipeline and your views there about the ability to do as much in 2023 or take opportunities to even speed up given potential maybe more opportunities there, what you view on that? And second, on CapEx, we noticed that your guidance is higher than what you have delivered historically. So I was wondering if you can give us a bit of color there. Is it mostly driven by inflation? Thank you very much.
Bill Brundage: Yes. Sure, Elodie. Thank you for the questions. In terms of bolt-on acquisitions, first off, we were quite pleased with the performance as Kevin outlined, completing 17 deals, investing $650 million this year and bringing in about $750 million of incremental annualized revenue, really split between both bolt-on geographic and capability acquisitions. We still see a good healthy pipeline as we look into fiscal 2023, 17 deals and bringing in $750 million was a bit of an uptick from where we've been the last few years. So – and these things will be a bit lumpy as we are in most cases acquiring longstanding family run, smaller competitors. So hard to call the quantum as we head into the fiscal year, but we do have a good pipeline and we'll continue to consolidate the markets. In terms of CapEx, you're right, our guidance of $350 million to $400 million is a bit stepped up from the last couple of years. The driving force behind that is our MDC rollout. As you know, we've opened our Denver and our Phoenix MDCs. We now have four additional MDCs that are in the pipeline as we're stepping up to that two to three MDC rollout per year pace. So we've got Houston and Dallas, Washington D.C. and we're just getting underway in Nashville, Tennessee. So there's a bit of a step up there just for the pace of MDCs.
Kevin Murphy: And Elodie, Bill mentioned that we had still a fairly good pipeline from an acquisition perspective. One of the things that we're really excited about, and I referenced it earlier with Aaron & Company in New Jersey, and the fact that that business brings further capability for residential trade plumbing and HVAC because as we look forward, there's a huge opportunity for us as an organization with what we call the dual trade contractor, that trade professional that does both plumbing and HVAC. We think that there are roughly 65,000 trade professional companies that are engaged in that activity. We think it's roughly a $32 billion market for us, and making sure that we build out through M&A as well as organically that HVAC and residential trade plumbing capability will serve us well as we go forward.
Elodie Rall: All right. Thanks very much.
Kevin Murphy: Thanks, Elodie.
Bill Brundage: Thank you, Elodie.
Operator: That's all the time we have for Q&A today, and as such, I will now hand back to Kevin Murphy for closing remarks.
Kevin Murphy: Yes. Thank you all for your time. Very much appreciated. We do not take this for granted. And then maybe more importantly, just to thank you again to our associates. We couldn't be more proud or more pleased with the continued growth and improvement that is delivered by our associates, taking care of our customers and growing our share position inside of an expanding $340 billion North American market. Our mix, our model, and the strength of our balance sheet is going to position us well for the coming year, whatever is thrown at us. And so thank you again for your time, and thank you again to our associates. Take care. Be safe.
Operator: That concludes the Ferguson fourth quarter and year-end results conference call. We'd like to thank you all for your participation. You may now disconnect your lines.